Operator: Good afternoon, ladies and gentlemen. Welcome to The Beachbody Company’s Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a Q&A session I would like to remind everyone that this conference call is being recorded. And I would now like to turn the conference over to our host James Carbonara with Hayden IR. James, you may proceed.
James Carbonara: Welcome everyone and thank you for joining us for our second quarter earnings call. With me on the call today are Mark Goldston, Executive Chairman of The Beachbody Company; Carl Daikeler, Co-Founder and Chief Executive Officer; and Marc Suidan, Chief Financial Officer. Following the prepared remarks, we’ll open the call up for questions. Before we get started, I would like to remind you of the company’s Safe Harbor language. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC, which includes today’s press release. Today’s call will include references to non-GAAP financial measures, such as adjusted EBITDA, net cash and free cash flows. A reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures is available within the earnings release, which can be found on our website. Now, I would like to turn the call over to Mark.
Mark Goldston: Thank you, James, and good afternoon everyone. Q2 2024 was a continuation of Q1’s strong start as we continue to deliver against our strategic initiatives and remain steadfast in our turnaround plan. Starting with financial performance, I’m thrilled to share that revenue was ahead of the midpoint of guidance. Second, we beat net loss guidance that coming in with a lower net loss than we were guiding to. And third, adjusted EBITDA also beat guidance. Additionally, we’re pleased to announce that we had our lowest net loss since going public, and this was our third consecutive quarter of positive adjusted EBITDA. Another key performance metric we’re proud to announce is that we’ve reported an overall gross margin of 69%, our best gross margin since 2021. Digital fitness gross margin came in at an impressive 81%, also the highest since 2021, while nutrition also outperformed on gross margin, reaching a 61% level, a level not seen in our nutrition business since 2020. These margin gains are key because they provide the operating leverage we always highlight. With this stronger structural foundation, incremental revenue will flow through at a much higher rate, really amplifying the impact of our growth initiatives. Moving to key progress made in our turnaround, I want to reiterate the details of our three key turnaround strategies. The first strategy is to enhance our cash liquidity and balance sheet position. In Q1, we reported our first positive free cash flow quarter since 2020, and here in Q2 we took additional strategic actions to fortify our liquidity position in April by proactively amending our revenue covenants for our term loan with Blue Torch Capital. Our amended debt covenant lowered the quarterly revenue threshold from $120 million down to $100 million per quarter, and this will last until December 31, 2024, and then subsequently it will go to $110 million per quarter beginning in Q1 of 2025. We also paid down another $4 million on the debt, reducing the outstanding debt principle to $25 million, which is one half of what it was a year ago. The liquidity covenant was also decreased by the same amount of the $4 million pay down from $22 million down to $18 million. We believe this demonstrates that our lender has confidence in our progress to run a positive free cash flow business at a much lower revenue threshold requirement. The second strategy is establishing operating leverage by significantly reducing costs. We have dramatically reduced our revenue breakeven point by over $400 million from over $900 million in 2022 to under $500 million in 2024. This has been achieved through cost based transformation and re-architecting of the body enterprise. We’ve built operating leverage into the P&L at the current revenue run rate, positioning us to drive significant operating profit as our turnaround gains traction. We committed to generating over $250 million in cost savings by 2024 compared to 2021 levels. And our Q2 2024 results show that we remain on track to deliver these $250 million in cost savings. And the third strategy is to focus on stabilizing revenues and repositioning the company for growth. We’ve developed revenue-driving strategies aimed at boosting our top line, which will debut as we move more towards the end of 2024 and into 2025. As we move forward, we’re enthusiastic about our current and future innovation pipeline, which is centered on increasing consumer accessibility to our extensive library of over 130 programs. Additionally, we plan to investigate strategic collaborations and create inventive marketing campaigns to further broaden the reach of our nutrition business, among other initiatives. A key driver of our future growth is making nutrition available on the body.com website, which just started to become available on a select basis. We’re going to roll this out comprehensively over the coming quarters, so we can start taking our fair share of the $164 billion nutritional supplement TAM, or total addressable market. While we love the fitness TAM, which is $13 billion, nutrition clearly gives us a more than 12x TAM to chase versus the fitness TAM, the combination of a powerful, digital fitness business and a nutritional supplement business is what makes BODi unique, because we’re the only ones that have both fitness and nutrition as part of a holistic program. Nobody else does that. In fact, nutrition is approximately half of the company’s revenues and presents a major growth opportunity. Let me put this in perspective. In the glory days of BODi or The Beachbody Company, our nutrition business was almost $800 million at our peak, and our digital fitness business peaked at $365 million. So, at one point, nutrition was more than 2x the revenue of the fitness business. So, nutrition is a huge area of future opportunity for us. So, in summary, before I hand it over to Carl, I want to reiterate that BODi’s performance reflects proof points that the strategy and disciplined focus of our turnaround plan, which we constructed after my arrival in June of 2023, that these things are working and we’re tracking ahead of schedule on critical milestone achievements. I am pleased to announce that the company has already achieved the five key strategic imperatives built into the turnaround plan. What are they? One, cutting our debt in half; two, lowering the breakeven point; three, delivering positive adjusted EBITDA for three consecutive quarters; four, building substantial operating leverage into our P&L; and five, and which is the year-to-date we’ve achieved cumulative, positive, free cash flow. As we remain in balance sheet optimization mode, we’re going to continue to focus on executing our turnaround plan to optimize cash generation from our valuable asset base with the goal of not only delivering positive adjusted EBITDA and free cash flows, but also focusing on GAAP net income as the next key milestone and the impressive and rapid turnaround of BODi. Importantly, as we move towards Q4 of 2024 and then into 2025, we’ll be tapping our innovation pipeline that we previously spoke about as we attempt to return to revenue growth, which will enable us to take advantage of our dramatically improved operating leverage and deliver even stronger potential, adjusted EBITDA performance. Now I’m going to turn it over to Carl and he is going to discuss our top line revenue growth initiatives. Carl?
Carl Daikeler: Mark, thank you. I’ll walk through the initiatives to grow revenue over the coming year that we’ve outlined on prior calls, including the launch of the digital program purchase option to give people an alternative option to access our content, our nutrition strategy and some new launches, expanding our sales channels, new partnerships, the status of our network and international expansion. Okay, first, we continue to expand our digital program purchase initiative that launched at the beginning of the quarter with some promising results. We should recall, this allows us to recapture the power of the DVD model, selling specific programs such as P90X or 80 Day Obsession rather than only offering a subscription. And since the digital purchase option entitles the buyer to access their program through the app forever, we also then have a permanent relationship with that customer to make additional offers. And that’s something we were never able to do during our peak years of the DVD business. So this is an incredible opportunity to do lifecycle marketing to these customers, offering additional programs for sale, supplements based on their personal needs and in many cases, upgrading them to a full subscription. This alternative to purchase fitness content is unique to BODi and its approach to fitness programs, and it recently powered the successful launch of our new BODi LAVA program at the end of June, which exceeded our expectations and has achieved strong engagement in its initial month on the app. The digital program purchase option has been particularly useful as we expand our partnership discussions like we just did with a company called CAP Barbell, where we entered into a partnership to offer one BODi program purchase to anyone who bought their dumbbell set. The quality of results people get with our specific program brands have been our competitive advantage for 25 years, so we see this as a particularly important expansion of the business model. With that in mind, we’re refining our content investments, giving the customer more of what they want from BODi. So let me walk through our key program content investments for 2024. In addition to the recent launch of BODi LAVA. In September, we’ll launch our second major program of the year on BODi, featuring actor Shay Mitchell. That’s called Four Weeks of Focus, designed to provide a four week total body transformation. And our third and final major program this year will be coming out in December and it’s called Belle Vitale. This is a first-of-its-kind comprehensive women’s hormone health program and one of the most exciting brands the company’s ever produced, given that it involves an extremely innovative approach to Pilates, a nutrition plan and a revolutionary nutritional supplement system which addresses key hormonal imbalance issues affecting adult women. Belle Vitale was developed by super trainer and nutrition expert, Autumn Calabrese, with the support of a team of doctors and hormone experts, and promises to not only be a successful fourth quarter program launch for the company, but we also believe this can be a powerful branded franchise for BODi, similar to the innovation of P90X. The supplements included in the Belle Vitale program have gotten particularly strong enthusiasm and demand from our test groups. Those supplements will be a powerful addition to the catalog this winter going into the important first quarter. Also in nutrition, we just launched a line extension of our popular superfood supplement Shakeology with zero-added sugar. In today’s environment, this line extension open up the product to anyone who may be sensitive to sugar, and it’s especially pertinent with our recent announcement of the partnership with the American Diabetes Association to help the over 136 million people who are diabetic or pre-diabetic to get active with our fitness catalog and improve their eating habits, including using Shakeology now with zero-added sugar. Okay, next, let’s talk about our broader nutrition business and strategy, which is approximately half the company’s revenues and represents the largest growth opportunity in terms of incremental revenue over the next 12 to 36 months. As you know, we haven’t previously marketed our nutrition products outside of our direct selling network and as we mentioned last time, we’ve seen solid growth in the Amazon sales channel and are adding more supplements to our Amazon listings and highlighting the superiority and quality of our formulations. We’re very encouraged by the consistent performance that we’ve seen this year on Amazon. We’ve been transitioning out of older SKUs like the latter brand, and focusing on items like Shakeology, Energize and our natural sleep supplement called Last Thing, which will continue to be central to our Amazon BODi store. Our flagship product, Shakeology, saw a sequential increase in Q2 versus Q1 of 44%, which is particularly impressive since the primary season for health and fitness is Q1. Our Shakeology subscribers on Amazon almost doubled quarter-over-quarter and we continue to see steady progress of sales across all our Amazon offerings. We’re also exploring other exciting ideas to monetize some of our brands and formulations into the nutrition pipeline. One example is the development of a new independent nutrition supplement line using a brand like P90X to be sold in general retail distribution. This allows us to take advantage of some of the best known brand names in the history of health and fitness, and this expansion into the retail supplement market represents an exciting opportunity for BODi to leverage its strong brand recognition and customer loyalty to reach a wider audience and drive additional revenue growth. This is a project in early development and we haven’t set a specific target date in 2025 to launch the line, but we’re very excited about the prospect. Likewise, we’re looking forward to expanding our sale of supplements through the 14 million person database and direct marketing channel working with social media influencers who are test and review and promote their experience with our supplements on social media. We’re continuing to review pricing and packaging configurations across all our sales channels to determine the best configuration to market in each sales channel to generate trials, conversions and the highest lifetime value per customer. As for our overall database marketing activities, we continue to execute against our strategy of sending special offers to drive conversion and revenue, and are getting more sophisticated with audience targeting. And like I mentioned, our launch of the BODi LAVA program to the database was particularly promising at the very end of June when we tested a new framework of introducing a limited time special offer to reactivate the database. I do have to add that the process of engaging and validating this large database is taking longer than expected to make sure that we’re not spamming the list, and we continue to test our messaging to create the most significant revenue while at the same time rebuilding the relationship with the millions of people in our database. We remain optimistic that this will be a very effective customer reengagement tool that will drive LTV with minimal cost of reactivation. Turning to our partnerships initiative, as I mentioned, BODi recently announced its partnership with the American Diabetes Association, or ADA, to become their official wellness supporter. The collaboration will include a dedicated BODi and ADA microsite, social media promotions, webinars and an influencer engagement campaign to help improve the awareness of diabetes prevention and management strategies using BODi products. We’re also very excited to announce strategic partnerships with both Dr. B and TruMed [ph], which allows us to engage and retain our customers by providing purchase reimbursement through their health savings account and flexible savings accounts on almost everything they purchase from BODi from an annual BODi fitness subscription to each month’s supply of Shakeology. By tapping into their HSA or FSA accounts, customers can save up to 40%, making their purchase decision easier than ever. The key takeaway on the partnership front is that good partnerships take time to line up and execute, but we have a healthy pipeline and the announcements around the American Diabetes Association, the Amazon bundle with CAP Barbell [ph] and Dr. B and TruMed are all proof points that we are seriously focused on partnerships as a lever to activate more demand. The network sales channel, which is comprised of customers who become partners to distribute our products in the direct selling model had a successful summit in late June, and I’m pleased to see their ongoing commitment and energy to helping people discover a healthy lifestyle with the launch of the BODi LAVA program. This idea of people turning their own health and fitness habits into a side hustle by sharing their BODi experience on social media remains a significant opportunity in sales channel and the enthusiasm for many of the new products and programs we’ve launched is having a ripple effect as leaders embrace new training, recruiting tactics and incentives to improve productivity. Finally, we have some exciting news on international expansion. We’re pleased to announce our entry into the Australian market where we just launched the BODi app for subscription to our digital fitness and nutrition content. Australia presents an interesting opportunity for BODi given the population’s focus on health and wellness. We’re expecting to build our playbook for future international expansion with the takeaways from this launch. Obviously, these are just some of the initiatives that we’re working on and most of all, I’m excited to demonstrate our resolve to continue to turn the company around to both reshape the business model to the current market and meet the ongoing demand for healthy lifestyle in the quarters and years ahead. Okay. Now, I hand it over to Marc to walk through the financials. Marc?
Marc Suidan: Thanks, Carl, and thank you, everyone for joining the call today. I am pleased with the Q2 results that we just released. As previously described and in line with our turnaround plan, we remain on track to achieve approximately $250 million in cash cost savings in 2024 over 2021. I will now provide a review of our second quarter financials, starting with revenues. Revenues were $110 million for the quarter, which was above the mid-point of the guidance range compared to the prior quarter, revenues declined 8% and year-over-year revenues declined 18%. We are very pleased to announce that gross margin continues to show improvement and remains aligned to our vision of margins in the high 60s. We finished Q2 with 69% in gross margin, representing a 160 basis points improvement from the prior quarter and an 800 basis points improvement from the prior year. This was the highest gross margin reported by the company in three years. Let me now comment on our digital and nutrition revenue and gross margins, which make up well over 95% of our revenues. Digital revenue decreased 4% from the prior quarter to $59 million and decreased 10% year-over-year. Our digital subscriber count was 1.15 million compared to 1.22 million in the prior quarter. Nutrition revenue decreased 10% from the prior quarter to $50 million and decreased 22% year-over-year. It is important to note that we are still in the early stages of reinvigorating our nutrition business and it will take more time to grow the nutrition business sustainably. As both Mark and Carl mentioned, several changes should start taking place in the second half of this year and the results should start to bear fruit over the coming year. At the end of Q2 2024, our nutrition subscriptions were 145,000 compared to 150,000 in the prior quarter. Digital gross margin was 81% for the quarter, which represents a 140 basis points improvement from the prior quarter and is 550 basis points higher than the prior year’s second quarter when it was 75%. This is aligned to our long-term targeted financial model of having our digital gross margin above 80%. The improvement is driven by lower content CapEx and related amortizations as we continue to leverage a significant asset which is our library of digital programs. Nutrition gross margin was 61%, representing a 90 basis points improvement from the prior quarter and a 290 basis points increase from the 58% in the prior year second quarter. The year-over-year improvement was driven by carefully managing pricing and inventory. This margin profile keeps us in the long-term targeted model of nutrition gross margin exceeding 60%. Moving onto operating expenses. Excluding prior period restructuring charges, operating expenses for the quarter were $86 million versus $90 million in the previous quarter and $107 million in the same quarter last year. This represents a $21 million reduction in operating expenses versus the same quarter last year. Selling and marketing expense was 51% of revenue compared to 49% in the prior quarter and 57% in the prior year second quarter. Expenses slightly increased over the first quarter due to the annual summit convention. The large improvement over the prior year is driven by re-architecting our selling and marketing, including the partner network compensation changes that we deployed in January of 2024. Enterprise technology and development was 16% of revenue, up from 15% in the prior quarter and 14% in the prior year second quarter. We continue to refine our e-commerce platform within the current cost structure. G&A was 11% of revenue in line with the prior quarter and it was 9% in the prior year’s second quarter. We aim to continue driving efficiencies and G&A should stay within this range of costs as a percentage of revenue. Net loss was $11 million, an improvement from the $14 million loss in the prior quarter and a 58% improvement from the prior second quarter loss of $26 million. Adjusted EBITDA was $5 million for the quarter in line with the prior quarter and a significant improvement from the $5 million loss in the second quarter of last year. This is the third consecutive quarter of positive adjusted EBITDA. Next, moving onto the balance sheet and cash flows. Our cash balance was $32 million compared to $39 million in the prior quarter. The change in cash was primarily driven by $4 million debt repayment and $2 million in negative free cash flow for the quarter. Our net cash position was $11 million at June 30 compared to $14 million at the end of the prior quarter. Our cash used in operations in the second quarter was $1 million versus cash generated in operations of $9 million in the prior quarter and cash used in operations of $6 million in the second quarter of last year. Q1 benefited from the fitness season and both Q2 and Q1 demonstrate our ability to run the company with a much lower cost structure. Inventory was $24 million at the end of the quarter, up from $21 million at the end of the first quarter. Inventory increased from the prior quarter due to higher raw material purchases given our new product launches like Shakeology with zero sugar added. Our CapEx was in line with the prior quarter at $3 million and in line with the prior year second quarter. We continue to maintain a lower CapEx profile, which is showing in our improved margins. We measure free cash flow as our cash generated from operations less PP&E CapEx, which equates to minus $2 million for the quarter, which is consistent with the seasonality trends of Q1 versus Q2. It was $7 million in the prior quarter and minus $8 million in the prior year second quarter. Our debt balance was $21 million at June 30 and we paid $4 million in principle during the quarter. Lastly, turning to our outlook for the third quarter, we expect third quarter revenues to be in the range of $97 million to $107 million. We expect a net loss in the range of $13 million to $9 million and we expect adjusted EBITDA in the range of $2 million to $6 million. Now, let me turn the call over to Carl for closing comments before we start our Q&A.
Carl Daikeler: Thanks, Marc. I want to reinforce my enthusiasm for our potential despite the challenges we faced over the last few years. The industry has been under constant pressure since the third quarter of 2021, but the opportunity remains clear and extremely significant. More people need our approach to healthy lifestyle than ever before, especially as people use weight loss pharmaceuticals and must find a way to combine that choice with nutrition and fitness that will preserve muscle mass. Likewise, the TAM for nutrition continues to grow, and I’m especially excited by the opportunity to expand the visibility and appeal of our supplement catalog. There aren’t many companies with 25 years of experience navigating the health and fitness category, and there are none that have the agility and assets in hand to create new opportunities that we do at The Beachbody Company. I appreciate the commitment and resilience of our team and our stakeholders and look forward to sharing news of our progress in the months ahead. I’ll now ask the operator to open it up for questions.
Operator: [Operator Instructions] Our first question comes from Susan Anderson with a company Canaccord Genuity. Susan, your line is now open.
Susan Anderson: Hi. Good evening. Thanks for taking my question. I guess really quick on the Nutrition segment. So it sounds like you’re much more bullish on nutrition business with the new strategies that you’re laying out. I guess what’s driven that bullishness and really kind of doubling down on the category and then also just on the Nutrition segment, is the DTC site now up and running to purchase online? And I guess if so, I’m just curious if there’s any early reads on the traction there or response from consumers. Thanks.
Carl Daikeler: Thanks, Susan. Great to hear from you. So we literally just a few weeks ago, put our energized product up on thebody.com site and so we’ll be adding functionality to that to make that something that people can add to cart as they check out with a digital subscription or a digital program purchase. And we’ll be adding additional SKUs, really, every month we’ll be expanding the addition of SKUs on thebody.com site. But as you know, we also have, I believe it’s five different products up on Amazon, and we continue to see that grow for us as well. So we’re doing this gradually to make sure that we do it right and that we have the highest ratio between CAC and LTV. And we’ll start direct marketing against those nutritionals probably about mid-September.
Mark Goldston: And Susan, this is Mark Goldston. Nice to talk to you.
Susan Anderson: Hi, Mark.
Mark Goldston: Just in – to the other part of your question about what made us seemingly all of a sudden have such a bullish outlook on the nutrition category. I’ll tell you what it is. We looked at the TAM and the massive growth that some brands are having in the nutritional segment. It’s $164 billion TAM, and we’ve got these great brands that frankly up until now, 99% of which have only been sold to people who are current members of the BODi network. So if you were outside of our network, you didn’t even get presented with Shakeology other than our recent initiative on Amazon. So we looked at the this massive TAM and the fact that we’ve got superior formulation products and said, boy, we really need to go after the general market, not just the people in our current subscriber base. And that’s a huge opportunity because at one point several years ago, nutrition was an $800 million business just at BODi alone. So we did, at our peak, $800 million, as we said in the prepared remarks, while fitness, even in its glory days, was 365 million. So we’re bullish on fitness, but we really think there’s a big opportunity in nutrition and we’ve not attempted to sort of go outside the walled garden to try to get it, and now we are.
Susan Anderson: Okay, great. That’s really helpful. Yes, it definitely does seem like a great opportunity. And then I guess maybe if you could give some more color just on your win back campaign with your 14 million database. I guess I’m just curious, with those that you have targeted, what’s been the conversion rate and do you typically see pretty good retention afterwards? And then also maybe within that you could talk about just marketing spend for the back half of the year and customer acquisition spend plans. Thanks.
Carl Daikeler: Okay. I’ll take the first part of that and I’ll see if I can answer the second part of that. The CRM campaign is gradually picking up steam. It’s taking a while to make sure, as I mentioned in the opening, that we’re not spamming these people. And because this is an old, large database, we need to make sure that we’re organizing them by cohorts so that we’re creating a relationship, not just giving them offers. We have started to send more frequent email messages. And in fact, the BODi LAVA launch was successful in June and early July because of the frequency and approach to the emails that we sent out. That was like a big aha for us as we now realize how we can launch a product into the larger database. But we’re starting now, the team is starting to divide them by cohorts, and that’s when we can start to get more productive and that’s when we can have a more predictable rate of conversion. But it’s early for me to report on that. I’m not sure if the finance guys will even let me report on it, but we’re seeing signs that there’s ongoing value there and we’re getting better at conversion as we are more scientific about defining the cohorts and demographics within the database. As for the media spend in the back half of the year, really what Mark said in his opening comments is really the point. Our job is to generate free cash flow and generate customers that are profitable and we get a return on ad spend as quickly as possible. So we’re maximizing cash availability to us and going into the third quarter obviously that spend in September, October, November as we get into the fourth quarter starts to get tricky in the fall months. But I’m quite excited, frankly, about the promotions that we’ve got set up for the third and fourth quarter, price point testing that we’re doing and also the products that I mentioned that we’ll be launching. So I don’t expect us to dramatically increase our spending, but I do expect that it’s sort of stay the course is the way I would put it.
Carl Daikeler: So a relatively stable [indiscernible] ratio.
Susan Anderson: Okay, great. Thank you. That’s really helpful. Good luck the rest of the year.
Mark Goldston: Thank you, Susan.
Operator: Our next question comes from George Kelly with the company Roth Capital Partners. George, your line is now open.
George Kelly: Hey, everybody.
Mark Goldston: Hey George.
George Kelly: First question for you. Hey, Mark. So I’m curious, how is your partner network trended since the commission changes were implemented earlier this year?
Mark Goldston: I would say that in general, there it’s gone better than we actually could have even expected. Meaning when you make these kind of changes, it can be unsettling to a large network like this, and it could go way worse than it did. But the justification, the network wants to make sure that the company is strong so that they’re representing both products and a company that will be there to satisfy the promises that they’re making to friends and family and followers. But at the same time, overall it is a challenging environment for, I think, all network marketing companies, particularly in the domestic market. So while the reaction and response to the changes in the comp plan have been accepted without any, I would say consequence, the overall market remains fairly volatile and something that we’re constantly working to help the network get new training and understand how to leverage our products and promotions to the best benefit for them. So like I said, coming out of Summit, we had a great response to the BODi LAVA program, which was perfectly positioned as a summer program. And now we’ve got a, for instance, a promotion around shakeology that I think the network is very excited about, and that takes into account the comp plan changes that we did at the beginning of the year.
George Kelly: Okay, understood. And then a couple of questions for you on the nutrition business. First, maybe you’re not going to want to do this, but could you help even if you don’t give a specific number, like how big is that outside of your partner network? And how fast is it growing in these direct channels you’ve talked about? And then maybe a follow up to the prior question. If you don’t plan on materially increasing your marketing spend feeding people into Amazon or your direct website, how else can you really get attention behind these new channels?
Carl Daikeler: Well, I mean, I’ll just, I’ll take part of that, George. Essentially, what we’ve done with our partner on Amazon is we put the product in front of people where previously it was there in a very de minimis manner and it wasn’t even priced accordingly. It was priced way above market. So that’s a channel that starts sort of feeds its own gas pedal right now. In terms of spend going forward I don’t believe in the past 36 months and maybe ever that the company’s ever spent direct response marketing dollars promoting nutrition, largely because you had to be in the network to buy it. So when we start spending money in direct response on nutrition, it will essentially be a first for us. And so we will use the same return on ad spend ROAS and LTV to CAC ratios that we use on the digital fitness side of the business to make sure that there’s a good return on invested capital. And with the margin structure that we’ve got, George, and the cost savings that we continue to implement, we would take available dollars and reinvest them in the incrementality that’s generated by the nutrition business so that we continue to feed the engine. So this is not something where you make an investment spend. You sit back and let’s see how it goes. We get dynamic reads every single day on our spend and we know where we optimize and where we can spend more and nutrition will be a new initiative for us. And, it’s going to take us some time, as you can imagine, to build external awareness outside of the network. But once we do, we think there’s a tremendous opportunity there.
Carl Daikeler: Let me add, George. This is one of the things that fed the company very early on. And really, I think one of the reasons that it grew so fast in the early 2000s was the fact that we were the only company that could combine fitness content with nutrition. So, and that just builds that additional LTV lets you run at what we call a higher media allowable. So we actually can make our advertising go farther because now we’ll have that additional contribution to every transaction as we convert people to not just buying a digital subscription or digital program, but adding nutrition continuity to it. So it’s really going to open up the spigot, if you will, to our ability to get more leverage on every dollar we spend.
Marc Suidan: And as we move into 2025, we talked about the innovation pipeline. Carl alluded to this in the prepared remarks. We’ve got a major nutrition innovation in that pipeline that we’re working on that will come out, hopefully in 2025. That’s really exciting and opens up a whole new opportunity for us on top of what we’ve got right now in the nutrition arsenal. So from a product standpoint, we feel really strong about it. We don’t have the awareness yet outside of the network. That’s what we’re going to start to work on. And then the new product that we’re talking about in 2025 is something that will start out with a high level of awareness because of what it is.
George Kelly: Okay. Thank you.
Marc Suidan: Thank you.
Operator: [Operator Instructions] There are no questions registered in queue at this time. I’d like to pass the conference over to Mark Goldston for closing remarks.
Mark Goldston: Thank you very much. We appreciate everybody attending the call today. And as always, if you have any additional reason for import or questions, please reach out to the company and thank you very much. We’ll see you next quarter. Bye.
Operator: That will conclude today’s conference call. Thank you for your participation and enjoy the rest of your day.